Operator: Good afternoon everyone and thank you for participating in today's conference call to discuss NV5's financial results for the fourth quarter and full year ended January 2, 2021. Joining us today are Dickerson Wright, Chairman and CEO of NV5, Edward Codispoti, CFO of NV5 and Richard Tong, Executive Vice President and General Counsel of NV5. I would now like to turn the call over to Richard Tong.
Richard Tong: Thank you operator. Welcome everyone to NV5's fourth quarter and full year 2020 earnings call. Consistent with social distancing, speakers today are connected from different locations. So thank you for your patience regarding any latency that we may encounter when we answer questions. Before we proceed, I would like to remind everyone that today's discussions contain forward-looking statements about the company's future business and financial performance. These are based on management's current expectations and are subject to risks and uncertainties. Factors that could cause actual results to differ materially from those statements are included in today's presentation slides and in our reports on file with the SEC. During this call, GAAP and non-GAAP financial measures will be discussed. A reconciliation between the two is available in today's earnings release and on the company's website at www.nv5.com. Please note that unless otherwise stated, all references to fourth quarter 2020 comparisons are being made against the fourth quarter of 2019 and any references to full year 2020 comparisons are being made to full year 2019. In this presentation, NV5 has included certain non-GAAP financial measures as defined in Regulation G promulgated under the Securities and Exchange Act of 1934, as amended. The non-GAAP financial measures included in this presentation are adjusted earnings per share, adjusted EBITDA and adjusted EBITDA margin. NV5 provides non-GAAP financial measures to supplement GAAP measures as they provide additional insight into NV5's financial results. However, non-GAAP measures have limitations as analytical tools and should not be considered in isolation and are not in accordance or a substitute for GAAP. In addition, other companies may define non-GAAP measures differently, which limits the ability of investors to compare our non-GAAP measures of NV5 to those used by peer companies. A webcast replay of this call and its accompanying presentation are also available via the link provided in today's news release on the Investors section of the company's website. We will begin the call with comments from Dickerson Wright, Chairman and CEO of NV5, before turning the call over to Edward Codispoti, Chief Financial Officer, for a review of the fourth quarter 2020 results. Dickerson Wright will then provide closing comments before we open the call for your questions. Dickerson, please go ahead.
Dickerson Wright: Thank you Richard and thank you to everyone joining us for NV5's fourth quarter and full year 2020 conference call. We are pleased to announce our positive results for the fourth quarter and for the full year 2020. We released a deck illustrating our overall results for this call. So I will start on slide five with the year in review. We delivered a strong performance in 2020 with a 30% growth in gross revenues, 52% growth in adjusted EBITDA and a 16% adjusted EBITDA margin. On gross revenues generated by NV5 employees, the percentage is 22%. We improved cash flow throughout the year generating 141% increase in cash flows from the operations in 2020 versus 2019. We measure cash on a daily basis, which has recently ranged between $65 million to $82 million and is readily available for corporate use. This strong cash position is more impressive when you consider that we acquired Mediatech, an international technology and engineering design firm, through the operating cash flows and reduced our debt by $52 million in 2020. This debt reduction has resulted in a net leverage of 2.4 times at the end of 2020, compared to 3.2 times at the end of 2019. We also had a successful 2020 growth in EBITDA. This is noteworthy considering the unusual market conditions due to the pandemic. The unanticipated impact of COVID has affected all aspects of the economy. NV5 has been insulated being an essential service provider which has limited the impact on our business. We have always managed a scalable business that limits fixed costs. Our organization's ability to adapt led by our employees is the key reason for our success this year. Employees strictly followed the COVID health and safety practices as recommended by the Centers for Disease Control and Prevention across the entire organization and in remote locations. We also grew our virtual tools to continue delivering services to our clients remotely. You may have heard me say that the greatest challenge of the COVID environment is maintaining communication with clients and prospects. Our employees developed creative approaches to foster these relationships. We also used our virtual environment to increase resource sharing across offices. As a result of this coordinated effort, we maintained our forecast of $105 million in adjusted EBITDA which was projected at the beginning of 2020, resulting in a 52% increase over the full year 2019. On slide six, I will describe some of the highlights of the fourth quarter. In Q4, we delivered $160 million in gross revenues, which is a 22% increase compared to the fourth quarter of 2019. I think it is important to point out that Q4 2020 also had two less billable days than the fourth quarter of 2019. We also increased profitability in Q4 2020 with a 28% increase in adjusted EPS, 37% adjusted EBITDA and a 29% increase in cash flows from operations compared to the fourth quarter of 2019. In our operations, we continue to drive growth in our utility services vertical, supporting continued investments improving the aging electrical grid. Our LNG business supported the utility services vertical with a good quarter. NV5 continues to support domestic utilities and reliable power delivery and fire mitigation services. Geospatial services continued its strong performance. Our real estate transaction service, which is part of our environmental vertical, was impacted quite significantly by COVID. But we are pleased to see this business rebound in quarter four. We had a year-over-year improvement in 2021 for this business. In our infrastructure business, we continue to see a strong performance in the West. New York City is resuming contracts that were delayed since March due to COVID and the North Carolina Department of Transportation has increased funding, which are two positive developments for our infrastructure business entering into 2021. We are heading into 2021 with good momentum. Our backlog is strong going into the year and we believe our margin improvement is sustainable. We maintain a strong cash position to fund acquisitions and reduce debt. We see further opportunities ahead with the new administration expected to increase investments in clean energy, energy efficiency and sustainable infrastructure that present opportunities for NV5. We expect the reopening of the economy to positively impact our business. We are already seeing benefits of a reopening of the economy in New York City where engineering design work has restarted and the North Carolina Department of Transportation has increased funding. Finally, we have a healthy acquisition pipeline with over 30 acquisition pursuits at various stages. Please turn to slide seven for a review of our 2020 cross-selling results and a look at some of the key contracts we have secured so far in 2021. Our cross-selling has benefits to NV5 in a twofold way. It increases our profitability by performing work within the company but it also serves to strengthen the integration of our offices and acquisitions. Cross-selling is becoming a part of NV5's corporate culture and our employees are continually finding new ways to add value for our clients and become more embedded in our client's organization. We had an excellent cross-selling year in 2020 delivering almost $33 million in cross-sells, which was 26% ahead of our target for the year and 41% higher than the cross-sell total for 2019. We expect to see continued growth in our cross-selling program in 2021, particularly between the core business and our geospatial business. As we look to 2021, we began the year with a strong backlog and we have secured some significant wins in 2021. We were selected for a $100 million contract with a utility in the West to support power grid modernization and improved service reliability and safety. This is the largest single award for our utility services group and the contract includes services from all six of our verticals, validating the benefit of our comprehensive service offerings for utilities. In California, NV5 was awarded a $15 million civil program management and engineering design contract to support transportation and water infrastructure improvements by California's municipal governments. We were selected by a utility in the East for a $7 million geospatial vegetation and asset management work. The award is part of a multiyear sole-source geospatial vegetation management contract with this prominent utility client. NV5 was also awarded a $5 million contract by a Southeast state department of transportation to provide geotechnical engineering, materials testing and inspection along one of the state's toll roads. Our municipal client base has been strengthened by the resurgence of new residential housing market and associated building permit applications. Please now turn to slide eight, where I will provide you with some details about our latest acquisition. Our acquisition strategy is focused on strengthening our verticals to provide greater value to our clients and expanding our capabilities and technologies that deliver higher margin and have significant barriers of entry. Let's discuss two of our recent acquisitions. First, Industrial Design Associates International is an example of a technology-based acquisition. IDA delivers commissioning services to the high-growth, high-margin data center and technology markets. The large volume of electricity and data use of these facilities requires more specialized, higher margin commissioning than would be required for a typical building or a facility. In addition, IDA also offers subscription-based energy efficiency services that monitor energy use in real-time using sensors placed throughout the facility to alert the building owner or property manager of a problem. This service complement NV5's existing energy efficiency services that are also delivered on a subscription basis. Our most recent acquisition is TerraTech Engineers, a geotechnical engineering, environmental consulting and materials testing company serving the public and private sectors in North Carolina, South Carolina and Georgia. We expanded our presence in the Southeast infrastructure in environmental markets in 2018 with the acquisition of CALYX. We have been looking to strengthen our testing, inspection and consulting capabilities and expand our existing environmental health science offering in the region to complement our infrastructure capabilities. TerraTech has been working with NV5 for many years on projects for the North Carolina Department of Transportation and other clients. TerraTech's strong management team and the quality of their work and their long-standing client relationships make it a good fit to strengthen our verticals in the Southeast market. And we are excited to add them to the NV5 organization. We anticipate TerraTech also supporting our Northeast infrastructure and design operation. We are actively pursuing additional acquisitions for 2021 and the M&A pipeline is strong. Our intention is to complete additional acquisitions this year and we have a number of targets that we are currently pursuing. Let's go to slide nine. The new federal administration has been proactive in environmental protection and sustainability with new executive orders targeting greenhouse gases, infrastructure and permitting water conservation and protection of public lands. These executive orders demonstrate a growing importance of sustainable infrastructure, clean energy and environmental concerns of the federal, state and local level. This presents an opportunity for NV5, which has a well-established service portfolio to help our clients achieve a sustainable future. Sustainable infrastructure has been a growing requirement infrastructure for many years. And NV5 has been at the forefront of this field with employees serving as board members on Harvard University's Program for Sustainable Infrastructure for the last 10 years. NV5 has worked on over 300 sustainable projects as designers, program managers, inspectors and consultants and that number will continue to grow as the focus on minimizing impact and improving resiliency grows. Energy efficiency and clean energy are fields that we expect to see additional investments in the upcoming years. Our growing energy efficiency service helps both private and public sector clients identify energy inefficiencies in real-time through monitoring-based commissioning on a subscription basis. There are currently $3.6 billion in utility rebates and incentives across the country to fund these energy efficiency programs. As the country continues to migrate to clean energy sources, reliability will continue to be important. As we saw in Texas a couple of weeks ago, all of us depend on the reliable delivery of electricity and natural gas. Renewable power generation, battery storage and reliable transmission and delivery of electrical power are expected to be drivers of our power delivery and energy compliance groups. We also expect LNG to continue to grow as a bridge to renewables and feed our LNG services that help utilities store gas for times like these. We also expect a focus on natural resources, water resources and sea level rise, which are all drivers of geospatial services. Many of our federal, state and local government geospatial client such as NOAA, the Department of Interior, NASA and the USGS depend on NV5 for mapping of forestry, water resources, floodplains, wetland delineation and coastal nearshore areas for sea level rise. Please turn to slide 10. Environmental sustainability is a key component of all six of our verticals with service office in each vertical to support our clients' sustainability goals. The current administration has placed an emphasis on environmental issues and the marketplace has driven a push towards sustainable infrastructure, energy efficiency and renewables and protection of water and natural resources. To address these issues, NV5 has been positioned to address the market demand for green solutions through investments in technology-based solutions such as geospatial surveying and monitoring-based commissioning as well as providing sustainable design, renewable and low-impact building materials and systems and a reliable generation and delivery of renewable energy. At the bottom on slide 10, you will see some examples of recently completed ongoing projects in each of the sustainable fields that we support. For the sake of time, I won't go through each of these projects and examples, but please reach out to us if you would like some more information about the sustainable projects we have performed. I will now hand the presentation over to our CFO, Ed Codispoti, to provide an overview of our Q4 and full year 2020 performance. Ed?
Edward Codispoti: Thank you Dick and good afternoon everyone. If you would please turn to slide 12, I will review our fourth quarter and full year 2020 results. As you can see, we had strong results this quarter, as our gross revenues increased 22% to $161.2 million. For the full year, our revenues increased 30% to $659.3 million. I will note that we had two business days less in the fourth quarter of 2020 versus the fourth quarter of 2019. And for the full year, we had an extra week in 2020, compared to 2019 due to the way our fiscal calendar works. Once again, our business model performed well in light of the Coronavirus pandemic. Our adjusted EBITDA also showed substantial growth as it increased 37% in the fourth quarter to $24.4 million and 52% for the full year to $105.4 million. Our adjusted EBITDA margin continues to improve as it increased 170 basis points compared to the prior year fourth quarter and 240 basis points year-over-year. We attribute this margin expansion to our scale as we grow the business and to our mix of business as we grow our higher margin verticals. Our adjusted EPS was also strong this quarter as we came in at $0.82 per share, a 28% increase over the same quarter last year and $3.72 per share for the full year, representing a 14% increase over 2019. Our cash flows also continued to show strength in the fourth quarter as we generated $23.6 million in cash flows from operations, a 29% increase over the same period last year. Full year cash flows from operations were $96 million, a 141% increase over 2019. These strong cash flows have allowed us to further strengthen of our balance sheet. As you can see on slide 13, we ended the quarter with $64.9 million in cash. This is more than double the amount of cash we had as of the end of 2019. Moreover, we increased this cash position while also paying down $51.8 million of debt throughout the year. As a result, we were able to bring down our net leverage from 3.2 at the end of 2019 to 2.4 at the end of 2020. This is equivalent to a 25% reduction in our net leverage. With that said, we feel well positioned going to 2021 and we are excited about the future. I will now turn it back to Dickerson Wright for some closing comments.
Dickerson Wright: Thank you Ed. Please turn to slide 15. The greatest contributor to NV5's ongoing success is the strength of our employees. We depend on them to help set our growth targets and then hold them accountable to deliver on those goals. At a management meeting in 2014, we worked together to set our companywide growth target of $300 million of gross revenue by 2017. This was an ambitious goal as we were only generating around $100 million in annual revenue in 2014. We announced the goal publicly so that we would be held accountable by our investors. When 2017 rolled around, we exceeded our goal and delivered $333 million in revenues. So at our 2017 annual meeting, we set another goal to grow the business to $600 million by 2020 and again announced the target publicly. In 2020, we exceeded that goal delivering $659 million in gross revenues. In our third quarter 2020 earnings call, we announced our new target of $1 billion in gross revenues by the end of 2024. We are confident in our ability to deliver on this goal and believe that our platform's scalability will continue to build upon the higher margins that we have generated in recent periods. Our business model has proven to be successful. We expect to build upon our momentum to deliver strong organic growth and we will continue to make strategic acquisitions that strengthen our verticals and expand our high-margin service. This completes our prepared remarks and now we would like to open the call for your questions.
Operator: [Operator Instructions]. Our first question comes from Chris Moore with CJS Securities. Your line is open.
Chris Moore: Hi. Good afternoon guys. Lots of good stuff happening.
Dickerson Wright: Hi Chris.
Chris Moore: Hi. Thank you. Yes, maybe just start with that, the $100 million contract for the power grid modernization. That's obviously a really important area. I am just trying to understand a little bit better, how did you guys win it? Is it a really competitive market out there? Are there a lot of other players in there? Or is that full scope of work is the differentiator here?
Dickerson Wright: Well, Chris, yes, there is always a lot of competitors. There is always a lot of competition. And there is always a lot of firms seeking to have a contract of this size. I think our relationship and I can't name the utility but we have got a long history, we are embedded with them. We do a lot of support work for them and we were the go-to firm because we had an experience and track record in doing that work. And one of the things that was enlightening to me was the estimates they used for delivery of utility services, underground services, previously they were anticipating the cost to be about $4 million and they assigned a small amount of this work initially to us and their cost was $2.8 million. So we were a natural selection for this work and I think it's going to greatly contribute to our work going forward over the years.
Chris Moore: Terrific. Maybe just talk a little bit about where you are in realizing the synergies with QSI? Did COVID slow that a bit? Did it accelerated? QSI, looks like it was a terrific acquisition. It just seems like there is still a lot more there. I am just trying to understand kind of where you are in that process?
Dickerson Wright: Well, yes, it's an ongoing process, Chris. So they have been with us a little over a year now. We are really doing the full integration process with them now and the back office support. But in the application to clients and in cross-selling, which is very important, they have been very active and the natural synergy is the work that they were doing and the work that they could do with us. For example, they had little presence with the utilities in the West and through our relationship with utilities they are doing much of the monitoring and safety monitoring and work for transmission load on the large towers so that they can prevent fire mitigation. Also in vegetation support and aerial support that they have been doing, it is a natural entree to work that we were providing from engineering perspective, they are now providing from a geospatial perspective. So we see a lot of opportunities there. But we are learning as we go. We are integrating and we are introducing them to many of our services. And vice versa, they have also introduced us to some of their clients and basis. And I think the key difference that we have been able to support them, the main work that they were doing was with the federal government in Department of Defense and various federal agencies that measure everything from global warming to many of the things and security reasons, we now have an entree with those people and our Arlington office, which was doing work directly for the federal government, has really enhance their presence. But we have now introduced them to the municipal market, the utility market and markets that perhaps they were doing but not to the extent that they can now do with us. So we are very pleased with that. They deliver a higher margin service and we anticipate the synergy in cross-selling will develop even further with them.
Chris Moore: Got it. Very helpful. I will jump back in line. I appreciate it.
Operator: Our next question is from Rob Brown with Lake Street Capital Markets. Your line is open.
Rob Brown: Good afternoon.
Dickerson Wright: Hi Rob.
Rob Brown: The first question is on, I think you talked about the real estate transaction business normalized in Q4 a bit. Could you give us some further color on that? And I know it got hit earlier in the year but how has it come back and how is it looking into 2021?
Dickerson Wright: Well, they had a very strong fourth quarter. And usually in our business, whether it be that real estate transaction or the core business of NV5 and even in geospatial, our first quarter tends to be slower. It's just historic. But they are starting to see now a lot of portfolio acquisitions that were delayed because of not knowing the environment. Those people have been coming back to doing that work. So they are starting to see the larger transactions and portfolio transactions. They do very little with individual residential real estate but as that whole market comes back and transactional work comes back, Bock & Clark, our transactional firm has benefited from that and they are starting now to see, as the economy reopens we are starting to see much more investment by the larger portfolio acquisitions and Bock & Clark has been benefiting from this.
Rob Brown: Okay. Good. And as you look into 2021, how does the organic growth rate look this year with the backlog that you have and the environment normalizing a little bit? How do you see organic growth playing out this year?
Dickerson Wright: Well, we still want to be conservative. We are still considering, anticipating organic growth, the high single digits, somewhere between 5% and 9%. And the dilemma that everyone has with firms that do a lot of acquisition is, how do you measure that? We like to integrate. We like to look at opportunities. Sometimes we acquire a company and there may be one whole piece of a portfolio that we don't think it's our core business, but we do like the overall company. So sometimes that piece goes away. So it's very difficult to measure organic growth through same-store sales. But we generally think in measuring firms that we have had for one year and we can start to apply our systems to that and so we still this year are anticipating organic growth to be in the high single digits.
Rob Brown: Okay. Great. Thanks. I will turn it over. And nice job on the quarter and the year in hitting your EBITDA number in a tough year. Thank you.
Dickerson Wright: Thank you Rob.
Operator: Our next question is from Jeff Martin with ROTH Capital Partners. Your line is open.
Jeff Martin: Thanks. Good afternoon guys. I want to echo Rob's comment on nice job hitting the original EBITDA target for the year. That's really impressive. Dick, I wanted to dive a little bit into the path to the 2024 goal of $1 billion revenue. It appears to me that pursuing technology and compliance services, I know you are layering in more subscription type recurring revenue, remote monitoring type solutions. But help us understand, as we go from $660 million today revenue to get to $1 billion, some of that's going to come M&A, but what is the strategy behind that M&A? And then assuming organic growth is probably embedded in there, mid single digit assumption?
Dickerson Wright: Yes. Well, it's not constant but we assumed around 5% organic growth and as we do acquisitions, the base for that organic growth gets larger. I think, Jeff, when we have an, this is just me saying how we are involved, we see a lot more opportunities to be selective in the acquisition. Now our platforms are pretty well-established. We can look at acquisitions in two ways. One, we can support the existing platforms from our traditional businesses. But as you listened and heard, we think there is phenomenal opportunities in this new technology and we can look for those and be very selective in acquisitions and still grow them. So I think that growth is going to come from organic growth about 50%, maybe 48% to 52% and then acquisition will be the balance of that. And the organic growth, that was a constantly moving thing because as 5% of $600 million is certainly more than 5% of $300 million. So as we grow, the organic growth in constant contribution is, although the percentage maybe mid to high single digits, it will be more cumulatively. So we can be a little more selective and we could be a little more strategic in our acquisitions, now that we have really developed our platforms.
Jeff Martin: Okay.
Dickerson Wright: And you will see that coming up. You will see that in the future.
Jeff Martin: Right. Okay. That's helpful. And if I could ask a detail model question here. Your sub-consultant, as a percentage of gross revenues as well as the other direct costs, which I think it mostly reimbursed travel expense were outside of normal range. So I was just curious if you could comment on whether that was kind of an abnormal event this period? Or if there is some sort of underlying change in the structure of things that has caused this to maybe reconsider how we model the next couple of years here?
Dickerson Wright: Yes. Well, let me first comment and then Ed may add more specificity to the comment. Geospatial have a higher percentage of sub-consultants than our core business. So that tends to add. That adds as the percentage goes up. And I also think that as our transactional real estate and environmental is growing and coming back stronger, they tend to have a higher utilization of sub-consultants. Whereas the core business, we try to limit that even more so because of minority and disadvantaged business requirements and absolute set requirements. And then many people limit the amount of actual mark-up that we can have on those. So as our new mix of business has changed somewhat, we tend to have the sub-consultants be a little bit higher. But Ed, maybe you have some more that you would like to add?
Edward Codispoti: Yes. I would agree with Dick. I mean in Q4, the percentage of sub-consultants revenue was 18% versus 15% in the third quarter. So it ticked upward but as Dick alluded to, that's really just the product of mix of business. And the real estate transactional business would be an example of that. So we expect it to shift back and forth within the range that we have seen throughout 2020 but do not expect a significant change going forward.
Jeff Martin: Okay. Great. Thanks for that.
Dickerson Wright: Just to add, many of the public agencies have a sub-consultant and we use our disadvantage business consultant for this. It has at least 17%. So I think that was good that was at 18%. So it shows that our core business is making real progress and trying to and it really kind of to me is encouraging because I see the cross-selling efforts really starting to have an impact on our overall company revenue.
Jeff Martin: I agree. That's far below industry average. Thanks for the time guys. I appreciate it.
Operator: Our next question is from Michael Feniger with Bank of America. Your line is open.
Michael Feniger: Hi guys. Thanks for taking my question.
Dickerson Wright: Hi Michael.
Michael Feniger: Hi everybody. Nice job hitting the original EBITDA target for 2020. Sorry if I missed this, Dickerson, but what's the EBITDA target for this year, for 2021? And if there is a range for EPS?
Dickerson Wright: Yes. I will let Ed answer that question. I think, I have seen it moving around, but I think our EBITDA target is about $124 million. But Ed, maybe you have more specificity than that.
Edward Codispoti: Yes. We are not necessarily giving guidance but think that $120 million range is possible.
Michael Feniger: Okay. Sorry. Go ahead.
Dickerson Wright: What was your second question? Michael, you had a second question. I am sorry. The first question was about EBITDA.
Michael Feniger: Yes. Are you comfortable with the EPS range as well that you see with the consensus?
Dickerson Wright: Yes. I think, yes, we re not giving guidance but the consensus for the last few quarters seems to be in line with what we said. And I think the overall consensus looks obtainable. But as I said, we are just right now coming out of this whole COVID situation and we are just reluctant to provide guidance until so we get more clarity.
Michael Feniger: Okay. Fair enough. And I think your backlog at $560 million, was down a touch versus the third quarter, kind of flat on a year-over-year basis. Is there anything you want to flag that is weighing on the ability to build backlog? Because we are going to see organic growth of five to, you were saying high single-digit range. Your backlog is flat. So do we need to build backlog in the early part of 2021 for that growth? I am just trying to understand the moving pieces of the backlog.
Dickerson Wright: That's a great question, Michael. The awards are not linear. And so the impact this quarter or in the last, the fourth quarter, on backlog was a delay in some of our geospatial contracts that will be pushed and moved over. And you can understand, with the federal government, there were many people that were not working and they are waiting on contract awards. There were some contracts that were pushed further into the year. But we don't think that. We think this is something that was an aberration that they will recover this in the second half of the year. But the backlog flattening was really a growth in the core business and then some tapering in the geospatial business. And that was only because these contracts were not so much going away but deferred to a later time of the year. So we hope and expect to pick that up in the latter part of the first quarter or the second quarter and then forward with geospatial. So I don't think it's any harbinger of flatness but it really indicated to me that the core business backlog was strong and the geospatial backlog has been pushed forward and somewhat delayed.
Michael Feniger: Fair enough. And maybe Ed, but out of the 22% growth in the fourth quarter, 30% full year, really strong growth, any way to help break that down for us between or I know it's difficult sometimes between what you would think is organic versus acquisitions?
Edward Codispoti: Yes. For us and we have talked about this in the past and given that we were so acquisitive in 2019, when we acquire a company, we integrate them, we absorb them and if there any specific business lines that aren't performing well as we bring them in, those might get dropped. And so to come up with a true organic figure is a little bit complex for our business. But yes, as Dick said, going forward what we are targeting for 2021 is the high single digits in terms of organic growth.
Michael Feniger: Okay. And just last question just on that high single digit organic growth. Do you feel, Dickerson, does it start off slow in 2020 then builds up as the economy recovers, vaccines get rolled out, DOT budgets are on better footing? Or is it actually kind of even throughout the year? Thank you everybody.
Dickerson Wright: Okay. Well, Michael, thank you. I can just mention historically and sometimes, the best view of things is in the rearview mirror. We have always had in the core business in the engineering business, the first quarter tends to be the slowest quarter, second and third quarters are usually much stronger and then the fourth quarter can be strong or it can be slightly weaker. But that's kind of a natural sequence. So I haven't seen a tremendous amount of impact in that. We are seeing the same thing. We are seeing more of a slowness in the first quarter that we have always seen. And then we tend to see things building. But I don't know how much of it is COVID related. I mean we think that we certainly, it hurts as we can't be in front of our clients and we can't be visiting them and seeing them and we continue to work remotely, but I hope that as the economy opens up, we will benefit from that. And then the last thing, not be too long-winded with this answer is, we have been doing all of this growth since 2010 and we really have never had any tremendous support from the government on infrastructure. So now we are hearing things that infrastructure is something that is going to be needed and it's something that has to be addressed and it does. And we can help to be the benefit of that. So our guidance is not anticipating this infrastructure, but it's certainly good to have a wind at our back rather than facing the headwinds that we have been facing since 2010.
Michael Feniger: Thank you.
Operator: Our next question is from Marc Riddick with Sidoti. Your line is open.
Marc Riddick: Hi. Good evening.
Dickerson Wright: Hi.
Marc Riddick: I wanted to touch a little bit, it was encouraging to hear commentary and positive enough the commentary around the acquisition pipeline and the things that you have available to you and appreciate the commentary on how you are your viewing those opportunities and I guess maybe a wider lens than maybe in the past. But I was wondering if you could touch a little bit just in general about what the pricing dynamic might be out there maybe relative to a year or two, because it certainly, at least in general, seems like there is a lot of money out there chasing M&A action and certainly things have picked up significantly beginning in the back half of last year overall. So I was wondering if you could talk a little bit about maybe what the pricing dynamic might look like and it feels it's any different than what you have seen in the past?
Dickerson Wright: Well, sure. I can tell you only from what we are experiencing and I can see that the traditional multiple of EBITDA has been going up. But in our case, being a public company, we have also seen the uptick in our prices and stock. And so there is a natural arbitrage, not that we are looking for that. But as we the valuations have increased, we have been using more components of our stock. We want shareholders, we want partners, we want to have people with us. And so we want acquisitions to have our stock. But as the price of our stock goes up, we tend to have to utilize that a little bit more and that kind of helps us in structuring the valuation. But we have seen some increase in valuations and private equity firms trying to enter a market tend to and I don't want to use the word deal trade, but they tend to initially go with a very high multiple and then what happens is maybe that's not quite the multiple that the firm is acquired for. Or what we have seen, our experience, I haven't seen a lot of the deals that we haven't done because of private equity, I haven't seen those deals close yet. But. Mark, to your question, prices and valuations tend to be going up a little bit, yes.
Marc Riddick: Got you. And I was wondering, I wanted to circle back on the cross-selling successes. And that certainly has been it's clear that's something you guys have been working on for quite some time that it's good to see the levels that you have achieved. I was wondering, should we continue to think about that the goal of cross-selling for this year and potentially next as being similar to what the goal was going into last year? Or how should we be thinking about with the future cross-selling goals?
Dickerson Wright: Well, I am sure the people that are managing the cross-selling effort would like to see the goals stay the same. But we increase that. We insist that. So we saw an achievement of $328 this year. We are probably expecting more like $340 million or so for cross-selling this year. And remember, this is also another factor in organic growth because that is on pure net revenues and as we cross-sell there is one office that does the work and there is the other office that records the sale. So there is a natural, there is higher profitability. But as we add the cross-selling, it's only measured in net revenue not in total revenue.
Marc Riddick: Okay. And then the last thing for me is, how should we be thinking about the potential CapEx spend for the year or any maybe technology spend needs or anything along those lines? Thanks.
Dickerson Wright: Ed is here just dying to answer your question.
Edward Codispoti: So our CapEx for 2020 was just under $10 million. We expect it to be very similar in 2021. Out of our entire organization, the geospatial vertical trends to be a little bit more CapEx intensive. So they make up about 80% of that number. So just over $10 million next year would be a reasonable assumption.
Marc Riddick: Okay. Much appreciated. Thank you everyone.
Operator: [Operator Instructions]. Our next question is from Scott Blumenthal with Emerald Advisers. Your line is open.
Scott Blumenthal: Good afternoon Dick. Good afternoon Ed.
Dickerson Wright: Hi Scott. Good to hear from you.
Scott Blumenthal: Nice to hear your voice too, Dick.
Dickerson Wright: Thanks
Scott Blumenthal: Dick, following up on Michael's question, a couple of questioners ago, on the backlog. I think it's important to note that you did call out those large awards and those would not have shown up in the Q4 backlog because they were booked in January. Am I correct?
Dickerson Wright: Yes. That's right. You will see them, you will start to see those recorded in the first quarter.
Scott Blumenthal: Okay. So we should see a potentially pretty decent boost from those even though you called those out, it just didn't appear in the $560 million number that was reported.
Dickerson Wright: Yes. Just also some clarification, Scott. Those are total contract awards. Now some of that, we only record the backlog that we are going to use in a rolling 12-month period. So for example, that $100 million backlog, I believe, was over three years or five years?
Edward Codispoti: It's a $100 million total win.
Dickerson Wright: It's a $100 million total win but we would probably record $20 million of that in the quarter, not the full $100 million.
Scott Blumenthal: Okay. Great. That's really helpful. And maybe this one's for Ed. Ed, the portion of the sales that come from backlog versus transactional business, Bock & Clark was mentioned as a real estate transaction business. Can you kind of gauge that for us? Or have you answered that already and I just wasn't paying attention?
Edward Codispoti: Yes. For Bock & Clark, we do have some Bock & Clark in that backlog number. It's not a whole lot. It's probably somewhere in the $20 million to $30 million range. But essentially the way we look at backlog is that, if we have got backlog equivalent to at least 65% of what we expect to come through for revenue during the year, we know we have an adequate backlog. And at this point, it appears to be more than adequate going into 2021 in terms of our expectations.
Scott Blumenthal: Okay. Yes. That's really --
Dickerson Wright: I just want to add. I can't help myself. But Bock & Clark and that's our transactional, those are more churn and burn guys. I mean they are thrilled that they could have a 60 to 90 day window on backlog. And they just, portfolios is at transactional rate and it's not unlike M&A. You never know what's going to pop up and you can't anticipate that. So their backlog tends to be nowhere near as high as the rest of our core business.
Scott Blumenthal: Got it. Duly noted. Thank you Dick. I noticed that with IDA and TerraTech that you all did not disclose an annual revenue number. Could you give us a gauge on that?
Dickerson Wright: I will be more than happy to do that. I think they are both about $8 million.
Edward Codispoti: Yes. IDA is around $6 million or so, give or take.
Dickerson Wright: So I think the combined is about the $8 million or so for at least the last numbers I have seen for this year. Ed is looking at historic. But IDA is more like closer to $8 million, a little over $7 million and change. And TerraTech was a $6.9 million. I think the noteworthy thing that I would like to mention, Scott, is we bought those right out of cash flow and we still reduced debt also, because we have been cash flowing so nicely. So neither one of those we needed to go to our facilities or borrow money to do either one of those acquisitions.
Scott Blumenthal: Yes. Absolutely, that's terrific, Dick and thank you for that. And I guess one last one, if I may, I did notice your stress there on sustainability as being an important initiative for you. Could you give us an idea, maybe this is a better question for Ed, have you or are you able to break out what you think the sustainable, the revenue stream, the sales level for sustainable projects as a percentage of overall projects now and what the growth rate of that might be?
Edward Codispoti: Yes. We think about that sustainability is about 25% to 30% of our overall business. I think that's a good rule of thumb at the moment.
Scott Blumenthal: Okay. And is that growing a little faster than the rest? I would suspect it could be?
Dickerson Wright: On certain areas, it's really taking hold. Our geospatial is really starting to see a lot more reliance on that as opposed to their traditional defense business. And so with seawater, sea world and ocean erosion and land erosion and snowcap, they measure water in the snowcap and things like that, they are constantly, their work is even more on sustainability. And even with the utilities, the utilities are really starting to push on sustainable means to support the grid. The grid is an aging grid but they have been, we have been seeing a real push towards solar power where we do shop fabrication inspection on the solar power where we have seen a big, a much bigger push for alternate forms of energy or a wind farms and things like that. So we want the business in our company to take advantage of this.
Scott Blumenthal: Sure. Okay. That's really helpful. Thank you. Thanks for taking my question.
Dickerson Wright: Thanks Scott.
Edward Codispoti: Thanks Scott.
Operator: At this time, this concludes our question-and-answer session. I would now like to turn the call back over to Mr. Wright for any closing remarks.
Dickerson Wright: Well, thank you everyone for listening to our results. We are very proud of the results we had for the year 2020. But we just can't sit on our hands and we really and I can tell you from all of our employees and the ones that hopefully I can get this even more after this COVID ends that we want to be continue to be a vibrant, growing company. And we want to hone our services to adapt to what we see in the marketplace and sustainability and the things that protect our overall environment. We all, whether we are part of NV5 or we are anyone, we all want to have clean air, clean water and we want to protect our environment any way we can. Our engineers and our technical people, though, are on the forefront of this and we are doing things now and I want to thank those people for the work that they are doing to really improve what we are doing. Where the help is coming, technology is going to be key in this. Our acquisitions in positioning our company will hope to see in the coming future more acquisitions that really strengthen our technology. You will see recently that geospatial had a software package that we released and this package and software is really going to help in the analytics and help our clients to understand the myriad of data that is coming to them. So we look at this software package growing. Excuse me. I am losing. I hope you can still hear me, but the software package is insight and what that you will see more and more of these software applications to improve our delivery systems, particularly in our geospatial and analytics. And though it's growing, we anticipate that will add to services and we are anticipating in a slow buildup of $2 million to $4 million in that. So I want to thank everyone in this order. I would like to thank our investors for believing in our company. I think we truly are a company that wants to deliver services and get embedded with our clients, be at the forefront of technology and support services that really enhance and help the environment and to deliver this. I mean, we want to say, we are doing well. We can always do better but we want to say we are doing well because we are measurable. And how do we measure that? We measure that by our growth. We measure that by our profitability. And we measure that by having you, our investors, as our partners in doing this. And that's why when we said that the growth that we are going to have, the $1 billion by 2024, we want to announce that. We want you to watch us. We want you to measure us and see how we are doing. So look for us in the future. We think 2021 is, we are positioned for a very good strong year. And hopefully, all of us will get past this COVID situation and we will be able to go about our lives and as always we will adapt to the situations that are in front of us. So I want to thank you. I want to thank all our employees at NV5. And I want to thank our investors and with your support, we will continue to having a good growing company and we look forward. We are very excited about 2021, this year, to grow even more. So thank you very much and thanks for listening.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation and you may now disconnect.